Operator: Good afternoon, and welcome to the MGM Resorts International Fourth Quarter and Full Year 2021 Earnings Conference Call. Joining the call from the company today are: Bill Hornbuckle, Chief Executive Officer and President; Corey Sanders, Chief Operating Officer; Jonathan Halkyard, Chief Financial Officer; Hubert Wang, President and Chief Operating Officer of MGM China; and Sarah Rogers, SVP of Corporate Finance. . Please note, this conference is being recorded. Now I would like to turn the call over to Sarah.
Sarah Rogers: Good afternoon, and welcome to the MGM Resorts International Fourth Quarter and Full Year 2021 Earnings Call. This call is being broadcast live on the Internet at investors.mgmresorts.com, and we have also furnished our press release on Form 8-K to the SEC. On this call, we will make forward-looking statements under the safe harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information or otherwise. During this call, we will also discuss non-GAAP financial measures in talking about our performance. You could find the reconciliation to GAAP financial measures in our press release and investor presentation, which are available on our website. Finally, this presentation is being recorded. I will now turn it over to Bill Hornbuckle.
William Hornbuckle: Thank you, Sarah, and thank you all for joining us today. We had a very strong end to a great year, producing our highest consolidated adjusted EBITDAR quarter ever in the history of the company. Our Las Vegas Strip resorts delivered yet another all-time quarterly EBITDA record, and our regional delivered a fourth quarter EBITDA record. Our Strip and regional margins also remained very strong in the fourth quarter. These results are testament to a very talented team across the country, our sharpened focus on operational efficiency and the proven resiliency of demand for the services and experiences that we provide at MGM Resorts despite the overhang of COVID. Our employees remain the cornerstone of our organization, and I am so appreciative of their dedication to our company and our guests. We could not have achieved these phenomenal results without our world-class team members. We know it has not been the easiest of journeys over the last couple of years, but I cannot say thank you enough and how grateful I am for everyone in the MGM family. Simply, thank you. Our strong employee base and our leadership team also propelled us forward to advance our strategic plan and long-term vision to simply be the world's premier gaming and entertainment company. As a reminder, our strategic plan consists of the following 4 priorities: investing in our people and planet, providing unique experiences for our guests by leveraging data-driven customer insights and digital capabilities, delivering operational excellence at every level, and allocating our capital responsibly to yield the highest return for our shareholders. I briefly touched on the great results we delivered in the fourth quarter, and Jonathan will go into more detail in his remarks. For now, I'd like to spend some time highlighting the significant milestones we achieved in '21 to transform our company. First, we took steps to complete our goal of monetizing our real estate assets meaningfully bolstering our domestic cash position. We have simplified our structure, bringing the operations of City Center fully under our control, selling MGP to VICI, a transaction that is expected to close in the coming months. We are also making strategic changes in our Las Vegas portfolio with the announced acquisition of the operations of the Cosmopolitan of Las Vegas and the sale of the operations of the Mirage. We believe these transactions will enhance and diversify our offerings in one of the most desirable and competitive destinations in the world. At MGM, our joint venture with Entain has established a strong brand and leaders in position with the U.S. sports betting and iGaming space, finishing 2021 as the #1 operator in iGaming, and the #2 player in overall sports and iGaming. I am incredibly pleased with BetMGM's excellent execution to date. We have substantial progress in Japan where the City of Osaka chose us as their partner to build and operate a new world-class integrated resort. Doing so will allow us to continue to diversify geographically into what we believe will be one of the world's largest gaming markets in the world. We also returned meaningful cash to our shareholders. And finally, we bolstered our executive team last year with the addition of Jonathan and Tilak Mandadi, who recently joined us from Disney. They both have already been vital to the execution of our long-term goals. We are pleased with all that we've accomplished in '21, and we're even more excited how this sets us up for strong momentum into 2022. Starting with BetMGM, we remain confident in the team's ability to sustain and advance its leadership position in both new and existing states. And evidenced by this comments, both owners anticipate collectively investing another $450 million BetMGM this year. You heard from Adam and Gary on their recent call, and we'll hear more from the BetMGM team during their Investor Day in May. In terms of new expansion opportunities, we are working with our partners, Orix, in the city of Osaka to submit an area development plan to the central government by April. We remain hopeful and confident in being awarded a license later this year to build an integrated resort in Japan. Stateside, we're encouraged by the continued progress being made in the commercial gaming license opportunity in New York, which could be awarded as early as this year. We believe MGM is extremely well positioned given our existing operations in Empire City. And finally, as we think about organic growth in our business, we see an opportunity to deepen loyalty and garner incremental revenue share by maximizing the full potential of our network of premium resort properties and entertainment venues across the U.S. We are addressing this opportunity through a fully coordinated company-wide effort, which leverages our strategic investments in advanced analytics, data and technology. Our goal is to identify and efficiently acquire high-value gaming and non-gaming customers by optimizing our target marketing, improving on-property service and improving new experiences for those guests throughout their visit. We view our loyalty program as an integral part of this effort to acquire, to engage and to retain high-value customers. On February 1, we announced the enhancement and the rebranding of our customer loyalty program from M Life to MGM Rewards. Not only does the name better align with our business, but the updated program allows us to address key opportunities, including targeting high-value non-gaming customers in addition to high-volume gaming customers incentivizing cross-property patronage and tier progression with more motivating benefits, and further activating BetMGM's customers in our properties. In 2021, approximately 42% of our new database enrollments came from BetMGM. We envision that this rapidly growing group of omnichannel customers will be able to reverse seamlessly between our online and offline offerings over time, experiencing MGM Resorts benefits proportionate to their tier status. MGM Rewards is the first of several steps in organic growth journey to attract and retain more high-value gaming, digital gaming and nongaming customers. Over the next several years, we'll be investing over $2 billion into our properties, creating customer-centric experiences and services in addition to the needed technology platform and advanced analytics to better engage and service our guests and drive market share in our principal markets. Before I turn it over to Jonathan to discuss our fourth quarter and full year results, I'd like to make some high-level comments on our current trends and the future outlook. As you all know, the emergence of Omicron variant in November led to rapid rise in COVID cases. Fortunately, this didn't put a damper on the year-end and plans we had -- and had a great December. However, January, which typically relies more heavily on group business in Las Vegas saw significant headwinds driven by groups mostly looking to postpone until later in the year. Cancellations while elevated, were mostly concentrated in a very short term with limited impact beyond March. CES in January was the most visible event this year with attendance down approximately 70%. Despite the tougher January, we're happy to see COVID cases again on the downswing across the broader U.S. Cancellations are declining and group lead volumes are normalizing. Forward hotel book has been stable over the past few weeks and are once again starting to outpace 2019 levels. I expect that given positive COVID trends in Nevada, we will start to see meaningful loosening of COVID restrictions in the very, very near future, consistent with what we have seen in other states. Furthermore, our weekends have remained very strong. In fact, this past weekend, the city had the East West Shine Ball, the NHL All-Star game at T-Mobile Arena, the NFL Probo-Alleged Stadium, Garth Brooks at Dolby Live at Park MGM and a pay-per-view fight in the Michelob Ultra arena at Mandalay. Our strip hotels ran 91% on Friday and 98% on Saturday. This upcoming weekend, we expect a very strong Super Bowl turnout, and we look further -- and as we look further out for the first time ever, the Grammys are coming to Las Vegas in April, and we're hosting this iconic event at the MGM Grand. Las Vegas is also serving as the host of the NFL draft in a couple of months' time. These types of wins continue to demonstrate that the city with MGM Resorts at its epicenter, remains a resilient and leading destination for exceptional of entertainment and now most notably, sports. Turning to our regional properties. We delivered an all-time record EBITDA year in 2021, with most of our properties leading in GGR shared with their respective markets. Our regional success continues to be driven by our premium offerings as well as strength in our rated gaming spend levels, combined with our efforts to yield to our higher-worth customers. We are reopening nongaming amenities at a measured pace as demand and resources allow, and our teams remain focused on labor productivity, giving us confidence in our ability to sustain margins above 2019 levels longer term. I will conclude with some comments on Macau. Despite the continued choppiness in the operating environment driven by various travel restrictions and structural shifts in the high end, MGM China reached an all-time record 14% in market share. The official launch of the Emerald Suites at MGM Cotai during the quarter enhanced their hospitality offering and is helping us also grow share. We believe MGM China remains well positioned for the market's eventual rebound given its strengths in premium mass. Importantly, recent constructive developments around the concession renewals, reaffirm our confidence in the government's judicious and fair approach to the process. Macau is an important part of our future and we will continue to work with the government to ultimately get our license renewed. We look forward to further promoting the long-term development of Macau's gaming industry and supporting the government's tourism and diversification goals for the region. As many of you know, this is Cathy Park's last earnings call with us. I cannot thank Cathy enough for all that she has done for the company and wish her all of her very best. Although I will note today, it's 69 degrees in Las Vegas, and it's not so in Boston. Jonathan, with that, it's yours.
Jonathan Halkyard: Thanks a lot, Bill. I'd like to join Bill and deep gratitude for our entire team here at MGM. Your heroic efforts have allowed us to deliver another quarter of outstanding results. And I look forward to working with you to continue this success in 2022. Now let's discuss our fourth quarter results in a bit more detail. Our consolidated fourth quarter net revenues were $3.1 billion, a 13% sequential improvement over our third quarter results. Our net income attributable to MGM Resorts was $131 million, and our adjusted EBITDA improved sequentially to $821 million, led once again by our domestic operations. 16 of our 17 domestic properties achieved either all-time or fourth quarter EBITDA records. And 14 achieved either all-time or fourth quarter margin records. This performance reflects strong broad-based demand across all segments, even into the latter part of the quarter, which is typically our seasonal low period. We also demonstrated our ability to improve our operations while maintaining cost discipline against the backdrop of workforce and supply chain challenges. Our fourth quarter Las Vegas Strip net revenues, which now fully includes City Center, were 26% above the fourth quarter of 2019 at $1.8 billion. Adjusted property EBITDAR for the Strip was $699 million, 84% above the fourth quarter of 2019. Hold had a positive $8.5 million impact on our EBITDA this quarter in Las Vegas. So Hold adjusted Strip EBITDAR was $690 million. Our Strip margins were 39% in the fourth quarter, a 1,200 basis point improvement over the fourth quarter of 2019 and equal to our margins in the third quarter of 2021.  We continue to drive healthy casino performance in the fourth quarter with Strip, slot handle and table games drop increasing 31% and 17% above the fourth quarter of 2019, respectively. Now that's when including Aria and excluding Circus Circus Las Vegas in both periods. Our fourth quarter casino revenues grew 66% over the fourth quarter 2019 or 40% when including Aria and excluding Circus in both periods. Notably, for the first time since the pandemic began, our rated 65-and-over age demographic in Las Vegas reached its pre-pandemic levels in terms of room nights in the fourth quarter. Our Strip hotel occupancy was 86% in the fourth quarter, improving sequentially from 82% in the third quarter. This was driven by strong weekdays anchored by our best convention quarter since the pandemic began and even stronger weekends. Our ADRs in the fourth quarter were 19% above that of fourth quarter 2019 or 7% above on a same-store basis. Now Bill will discuss the current operating dynamics, which have been challenging and also why we continue to be optimistic about our business beyond the first quarter. To help provide a sense of the magnitude of the impact presently, we just finished January with Las Vegas Strip occupancy at 66%. But we expect the rest of the first quarter to improve with February occupancy running in the mid-70s and March in the mid-80s. February and March ADRs are pacing near 2019 levels, fueled by weekend ADRs up over 20%. And while we had occupancy drop last month, January was our highest booking month since March of 2021, and it was better than any single month in 2019. These are rooms that were booked in January for the future. Yes, we all feel pretty good about the outlook here in Las Vegas. Our fourth quarter regional net revenues were $900 million and flat versus the fourth quarter of 2019. We delivered adjusted property EBITDAR of $309 million, which was 36% above 2019 levels. Combined with our Las Vegas results, our domestic businesses delivered over $1 billion of EBITDAR in the quarter. Our fourth quarter regional margins grew 900 basis points over the fourth quarter of 2019 to 34%. Recall that our third quarter margins grew by a similar 886 basis points over the third quarter of 2019. Our regional casino business remains strong despite the typical seasonality in the business during the fourth quarter. Our slots and table games volumes improved by 7% and 5%, respectively, over the fourth quarter in 2019, and our net PO per day for our rated customers increased 34% over the same quarter in 2019, led by our high-value $400 segment. I'd like to make some comments about our cost structure and how it has evolved over time. Our Las Vegas and regional EBITDAR margins have remained very strong throughout the last year. And while they benefited from pent-up consumer demand and elevated casino spend, they also evidence the great work that our teams have put into maximizing the effectiveness of our operating model and rethinking how we run our business. This ranges from labor productivity to optimizing F&B offerings to strategic player reinvestment. And as we continue to staff our teams to more sustainable levels and our nongaming revenues increasingly become larger contributors to our overall business, we expect our domestic margins to stabilize still well above 2019 levels. Moving to BetMGM. We're currently live in 21 markets, having launched in both New York and Louisiana in January as well as Puerto Rico today. The team remains busy, that's probably the understatement of the call, with expectations to go live in Illinois next month as well as Canada later this year. Adam and Gary from BetMGM provided a business update back on January 19, and during which they announced having delivered net revenue from operations of $850 million in 2021, growing nearly 5x over 2020. We expect the momentum to continue into 2022 with BetMGM expecting to deliver net revenue from operations of over $1.3 billion. Our 50% share of BetMGM's losses in the fourth quarter amounted to $57 million, which is reported as a part of the unconsolidated affiliates line of our adjusted EBITDAR calculation. This brings our share of BetMGM's losses to $211 million for the full year 2021. And as Bill alluded to earlier, we continue to believe that BetMGM is one of the most attractive growth opportunities for our company and one that will generate meaningful returns on our investment. Finally, in Macau, overall market-wide gross gaming revenues in the fourth quarter grew 2% sequentially from the third quarter. MGM China's net revenue grew 9% sequentially to $315 million and adjusted property EBITDAR slightly declined sequentially to $5 million, partially driven by VIP hold and higher bad debt. Travel restrictions are still the greatest bottlenecks to a more meaningful recovery in the region, but we remain encouraged by the clear signs of demand for our offerings. In fact, for the recently ended Chinese New Year holiday period, total visitor counts to our properties were up 30% over the prior year, with our mass segment showing healthy year-over-year growth and recovery. Fourth quarter corporate expense, excluding share-based compensation, was $117 million, which included about $8 million of transaction costs. We incurred some additional expenses related to our loyalty program relaunch and true-ups for performance-related compensation. And as a result, we expect that our net corporate expense in the fourth quarter will run lower -- for the first quarter will run lower than in the fourth quarter. Unfortunately, one of the most important topics facing our company today is the allocation of our capital. And we believe that among the most productive uses of that capital is returning it to our shareholders. At current trading levels, we believe there's tremendous value in the shares, and we've acted on that conviction. In the fourth quarter, we repurchased approximately 17 million shares for $727 million. And so far this quarter, we've repurchased roughly 8.5 million shares for $370 million. Since we started the program last March, not even 1 year ago, we have repurchased over 52 million shares for just over $2.1 billion. That's over 10.5% of our market cap. These repurchases have been funded in part by a series of transformational transactions announced over the last year. Transactions that improve our portfolio, simplify our structure, bolster our liquidity position and advance our vision to be the world's premier gaming entertainment company. This year, we are working to bring these deals across the finish line. Our transaction with VICI remains on track to close in the second quarter, subject to regulatory approvals. We also expect to close our acquisition of the operations of the Cosmopolitan of Las Vegas in the second quarter, subject to regulatory approvals. In December, we announced our agreement to sell the operations of the Mirage to Hard Rock for $1.075 billion representing a 17x multiple on its 2019 adjusted EBITDAR less rent. And we expect this transaction to close in the second half of the year. We remain highly liquid. As of December 31, our cash position, excluding MGM China and MGP was $4.8 billion or $7.4 billion when adjusted for the VICI, the Cosmopolitan in Las Vegas and the Mirage transactions, as well as the retirement of our $1 billion senior notes coming due next month. Our approach to capital allocation continues to be as follows: first, we'll maintain a strong balance sheet with adequate liquidity; second, we'll return cash to our shareholders; and then finally, when assessing potential growth opportunities, we'll invest where we have clear advantages and we'll exercise prudence in measuring prospective returns for our shareholders. And then before I turn it over -- back over to Bill, I'd just like to address my final comments to our organic growth plan, starting with our new MGM Rewards loyalty program. Today in Las Vegas, we attribute over 80% of our gaming revenue to specific customers enrolled in MGM Rewards, enabling the delivery of personalized service and relevant offers. But when it comes to hotel dining and entertainment spending, that percentage that is attributable to specific customers is less than 40%. For MGM, these nongaming revenues amount to approximately $5 billion per year in Las Vegas alone. And I think we'd all agree that MGM has the best, most diverse hotel dining and entertainment experiences in Las Vegas. This is a huge opportunity for us. Expanding the ways our customers earn rewards, simplifying the benefits that they receive in return provides compelling reasons for guests to share their journeys with us. As our understanding grows, it will enhance our ability to provide a more compelling, personalized experience and offers for our guests. As a result, we believe will drive deeper loyalty and grow our customer base over time, delivering financial gain for our shareholders. With that, I'll turn it back to Bill for his closing remarks.
William Hornbuckle: Thanks, Jonathan. Jonathan, by the way, just celebrated his first years anniversary. I wonder what he's been doing. When I first spoke with all of you as the CEO approximately 2 years ago, I expressed my desire to be focused, disciplined and transparent in how we run this company. I believe these virtues have served us well over the last couple of years, and I believe they will continue to serve us well into the future as we look to drive long-term shareholder value. I'd like to close by thanking again all of our employees for their service, for their commitment and their dedication to this company. Together, we've accomplished a lot in the past year, and I'm excited about what we can further do and accomplish this year and beyond. With that, Chad, I'll turn it back to you for questions.
Operator: . And the first question will come from Joe Greff with JPMorgan.
Joseph Greff: Congratulations on the results. Going in tonight, I wanted to ask you, as you are going into first quarter, what sort of hotel pricing elasticity you're experiencing, particularly on the weekend that you've addressed that. So I just wanted to clarify, I think, Jonathan, you had a comment, and I didn't capture all of what you said with regard to the revamped MGM Rewards loyalty program. You said 80% of the gaming revenues come from the current loyalty program, the nongaming is only 40%. I guess, just to kind of understand if you got to parity what would that revenue opportunity be? And would that incremental revenue be at margins that would be accretive to the current blend of Strip EBITDA margins?
Jonathan Halkyard: Sure. I was really intending to draw the distinction between the level of tracked revenue that we have through our gaming revenue as compared to nongaming revenue. And so it's an opportunity -- and that was the difference between the 80% and the 40% here in Las Vegas. And it's meant to illustrate the opportunity that we have to create a closer relationship with those guests of ours who generate nongaming revenue for us across our hotel, restaurants and entertainment venues. This is a massive business for MGM Resorts. It's a huge opportunity for us to grow share within those customer spend areas. And so we'll be detailing as we go through the year with the launch and the success of the MGM Rewards program, which rewards these guests for that spend and that allows us, of course, to customize offers to them.
Joseph Greff: Great. And then my follow-up question is related to New York, assuming you're able to build a full-scale at Empire City. What do you currently envision for that property? What would be the CapEx? How much disruption would there be as you're expanding and renovating that property?
William Hornbuckle: Joe, great question. It will take some time. Obviously, we need to understand what the tax is going to be, what the licensing fee is going to be. It will determine a great deal. Presuming we're fortunate enough to win a license and ultimately, go forward. If we do it, I would say, the way it was done in National Harbor, where you have an opportunity to create great jobs, a great environment, a great property because the tax ultimately and the fee is reasonable enough to allow us to do that. You're looking at a spend somewhere in the $1.2 billion to $1.3 billion Phase 1, give or take. We have 97 acres there.  We go back and forth, what kind of things we might want to put there. We could see quickly in the existing environment, a couple of hundred tables. We currently have 5,500 slots, which is massive. And so we reduced that to a certain degree. And then we build it out over time, clearly a need for a structured garage but there's a much broader vision to be had longer term. But I think -- and look, the opportunity location, all of the things that would be meaningful to us in terms of a network and ultimately, omnichannel back here, both with BetMGM and ultimately Las Vegas as a cornerstone to that discussion could be very meaningful for the company. But we've got to be given the opportunity to spend capital to make it work. And so it really hinges on that discussion almost more than anything else. But that's a starting point. I think a good way to think about it.
Operator: And the next question will be from Shaun Kelley with Bank of America.
Shaun Kelley: I wonder if you could maybe touch on CapEx a little bit. Obviously, I think there were some numbers given in the presentation about sort of your targets for 2022. Jonathan, that looks a little bit above, I think, historically, maybe you thought closer to $400 million to $500 million for the core domestic portfolio on a maintenance basis. So could you help us elaborate on some of the spending in 2022. And then I think there's also a $2 billion number mentioned over maybe the next couple of years. So maybe you could help us think about some of the project like the project focus going forward?
Jonathan Halkyard: Sure. Two reasons for the elevated number against that maintenance target or history that you described: one would be some deferred maintenance that the company experienced during 2020 when the properties were closed and many of our employees were furloughed. The company didn't spend much CapEx at all during 2020. So some of it is making up for that. We also are taking on in a deliberate way, some hotel remodels in our system. We talked about, of course, Luxor and Bellagio last year. This year will be the Bora Bag New York-New York and beginning on some of the rooms at the MGM Grand. So those are all pretty meaningful investments, and we think in every case are going to drive nice returns and improvements in guest experience. The $2 billion number that you mentioned, that's really looking out to the next several years. And I would put it largely in 3 categories. The first is a continued program of room renovations across the system that we've now kind of laid out for the next 7 or 8 years. The second is technology investments led by Tilak and his team, most of which are going to be directly experienced by our guests. And then the third, our growth capital investments within our core portfolio that we'll expect will drive a very nice return for shareholders. So those are the main buckets of that $2 billion number.
Shaun Kelley: Great. And then maybe just as my follow-up. You gave some color on, I think, the margin build, and I think margin sustainability remains the $10,000 question across the space. So could you just help us drill down a little bit as you look at -- you were very stable quarter-on-quarter. I think you mentioned negative mix as some of maybe the kind of entertainment and food and beverage amenities come back in '22. But what are you seeing on the labor front, specifically? I think you do have some union relationships that might actually help protect you a little bit from some broader inflation. So maybe just help us walk through a few of the pressures you think you'll be up against and what maybe some of the offsets are in 2022?
Jonathan Halkyard: Okay. So on the labor side, we're experienced generally labor inflation of 3% to 4% on an annual basis. So it is meaningful, but it's sustainable for us. We were also compared to back to 2019, we were down 22% in FTEs in the fourth quarter. It's a little bit better than the third quarter where we were down 25%. And we believe with the learnings that we've put in place, the actions that we took on the operating model a couple of years ago that ultimately we'll stabilize at the level of FTEs 15% below 2019 levels. So that's some of the build that I talked about with bringing employees back but that has an offset, which is -- there are some things for sale that we don't have open right now that we'll be able to open when we bring employees back. And the final thing, I guess, add in terms of the margin structure is there's really 2 sources of these 1,200 basis points, 1,000 basis point margin increases that we've had. One is the cost reductions, the improvements in efficiency that we've done, the $450 million of cost savings. The second is a mix of customers oriented more towards casino over the past 6 months, which has been accretive to margins. And we believe that as that returns to a more normalized mix of business that, that will have a dilutive effect on margins. But overall, we'll improve EBITDAR for the company.
Operator: The next question will be from David Katz from Jefferies.
David Katz: I wanted to follow up on that just a little bit because we often engage in discussions that compare your Vegas margins with other operators, et cetera. And fairly, it's different for a number of reasons. And I -- what I'd love to do is just get a sense for what the inherent pressures are. Jonathan, you talked about some of the labor issues and some of the other costs that are moving because of the current circumstance. But does the size of your operating platform? Where does it help? Where does it weigh on your ultimate landing spot for margins in the next couple of years?
William Hornbuckle: Well, look, this is Bill, David. In the context of higher end, higher volume business, while there's a ton of cash to be made potentially with high-end gaming customers, they come with some margin. They come with G5 and other things that tie to that activity case. And so we have more than all in that category, and so that drives proportionately. When you think about entertainment and you think about Bruno Mars and you think about Lady Gaga, they're taking large chunks of the revenue out of the building right away. And so our entertainment platforms that scale tend to add to margin differentiators from some of the others. And then just generally speaking, particularly when we think about REA, you think about the matching you think about what we're doing here. As a percentage of our overall business here being Bellagio. Luxury comes with some additional expense and additional service.  Can we sustain 1,200 basis point margin increase? No. But we've said before that we're looking at 400, 500 or 600 basis points is a real place, and we believe that to be the case going forward. And so once again, COVID and Omicron during January has clouded this discussion. But as we come out of it, those 22% FTE reductions are very real. Those positions are gone. And so it will be to us from where we were and where we started very accretive.
Corey Sanders: And David, what I would add, this is Corey. Like type properties, Bellagio versus Wynn or New York, New York versus a legacy property of a competitor. Our margins are equal, if not better.
David Katz: Understood. And as my follow-up, I may date us all a little bit. But I recall the NBA All-Star game being in Las Vegas a number of years ago. And it's not -- and the outcomes not being particularly great. But the sporting events that you're hosting these days seemingly are great. And is it that you're better at managing those? Is just the -- there's some relationship that's improved there? Why are these great? and I recall that one being particularly not great.
William Hornbuckle: Look, remembering that event because we hosted part of it, I was down at Mandalay at the time. A lot of Southern California showed up with that crowd. It was an awkward time, as I recall. And so, no, it was not a stoic event for the community or for the properties. It just wasn't. If you look at the Raiders though, as a simple example, remember what happened there. Half of their seat licenses went to people out of town. The folks in town are now selling those seats, by the way, to other visits. So the Raiders have talked about 60 -- of their numbers, not ours. 68% of those seats on a game day are to added counters, big pickup in millennials. And so between the activity case around the Golden Knights, around the Raiders, around a lot of the college activity that travels with big-time fan base, we have gotten our head around it. I think we're doing a much we as the community, not just our company. We're doing a much better job around it. And like anything, we learned a lot from what to do and what not to do during that event. And we have become, without a doubt, and we're talking about NCAA regional finals. We're talking about the Final 4 someday. We got the Super Bowl here in '24. Arguably, we've become Americas, it's not part of the world's most popular sports destination because it just isn't a 3-hour game, it's a 3-day event. And so we're enjoying that, obviously, particularly with the South and Strip and Allegiant, starting with T-Mobile on to Allegiant, all of that is all us. And so we are sandwiched right in the middle of some really exciting stuff.
Operator: The next question will come from Carlo Santarelli with Deutsche Bank.
Carlo Santarelli: Jonathan, you touched on this a little bit as you talked about kind of the transition into more entertainment. And Bill, obviously, you just referenced it as well, but entertainment and F&B and some of those other nongaming revenues that come back. When you look out towards the back half of this year, obviously, you guys will be facing some historic second half gaming comparisons. As you think about that transition and some of the margin degradation, do you feel like the comment you made earlier about over time, it will be more EBITDAR, but at a lower margin? Could that hold true in the second half? Or do you think that will take time to build on the non-gaming side?
William Hornbuckle: I'll kick this off and turn it to Jon. A couple of broad thoughts. Clearly, even in the fourth quarter and third quarter last year, convention business did not return to normal. Corporate business had not returned to normal. And we have huge margin, particularly in the catering and banquet in that business. We had no appreciable international play to speak of. Almost nothing. With the exception of -- we had some Europe play, but Asia was a nonevent and just general tourism that comes internationally. And I still believe there's a segment of the business. I had dinner with a gentleman last night, hadn't been here in 2 years, multi guy loves Las Vegas just was afraid to come back. So I think there's a segment of the market that has real disposable to spend that we have not yet seen to return. And so for those 3 broader reasons, I remain optimistic we've put us at a pretty high bar, I get the general question.
Jonathan Halkyard: Yes. I would just add that it's important to note that in the third and fourth quarter, we're still running 7 to 10 points lower than normal in occupancy. So this business we're talking about, this gentleman Bill mentioned, the group business. This is additive largely to the current mix of business that we've had. And so that's another reason why we believe that we can continue to grow the earnings of the business, although the mix will be different as these customers come back.
Corey Sanders: And what I would add, Carlo, the strength of the casino segment, we don't see it slowing down, including the fact that international should start returning here beginning first -- end of first quarter, second -- hopefully, second quarter. And look, the business we would displace is probably the lower-end leisure package business with that additional business.
Carlo Santarelli: Right. That makes sense. That's great. And then I know you guys obviously just talked about January being a tremendous booking month. As you think about where we sit today with the group outlook and maybe some of the stuff that was choppy in the first quarter, I'm presuming a good chunk of that may be shifted in the back half or is sitting there waiting for first quarter of next year? And anything you guys could provide about the group pacing for second half of this year in 2023?
William Hornbuckle: I'd make a broad comment, and Corey follows is much closer. But look, we probably lost about 150,000 room nights this quarter in that space. most of them tried to rebook or have rebooked. And when I say try, remember, we've been up this 2 years in terms of COVID. And so when I look at next October, there's not a lot of space left at the end in some respects. My general view is we will come a long way back by fourth quarter and will really begin to normalize by end of '23. I think is the real way to think about this, by the end of the back half of '23, we'll be back to full normal. And we've got some things that are accretive to us. Our cancellation fees that end up on the bottom line that are highly margin -- 10% margin to that. And if we can turn around and refill it with leisure, that's helpful. So leisure demand picks back up, particularly in the second quarter. I think there's a little upside to all of that.
Operator: The next question will be from Chad Beynon with Macquarie.
Chad Beynon: I wanted to ask about Macau and just take your temperature in terms of what the market is thinking about maybe timing of a recovery or at least some green shoots given that we've seen some Chinese New Year numbers and it's certainly a fluid situation. And then related to that, could you just kind of opine on the changes with junkets and VIP rooms? How you're positioned to transition this business and keep it in-house?
William Hornbuckle: Yes. Let me maybe try -- I know Hubert is on the call with us and you stayed up late. So let me give me this moment of opportunity here. Hubert, if you could help us.
Hubert Wang: Yes. So thanks, Chad, for the question. In terms of timing of the recovery, I think that -- generally speaking, we have seen the recovery in play in the past year. If you look at 2021, the number was higher than 2020. But overall speaking, it's driven by the -- obviously, by the mass segment. You mentioned Chinese, you actually we're pretty satisfied with the Chinese New Year performance, particularly on the mass side. We'll take Amgen, for example. I think that we have reached 85% of the pre-pandemic level in terms of mass volume if we measure that by a table drop. So that's encouraging. But overall speaking, in China, which is basically a vast majority of our customers where they come from. Their policy, prevention of COVID policy is very different from the ones that you see in U.S. So they call dynamic the 0 case. So as soon as there is a case popping up somewhere in China, so there are strict travel restrictions in place for that barrier. But now in China, it's getting more and more precise. They can really -- the acquisition of precise travel restriction target to certain areas. But the intact Macau is that these areas travelers won't be allowed to come to Macau or they have to go through quarantine. And in the past year, we have seen that happening almost every quarter as close as to see the markets like Shenzhen or even Zhuhai and sometimes in northern areas. So I still believe that these things will happen in 2022 this year. And coupled with that is also the NAT test. So if there are cases in China, typically, these regions will require 24 hours test results to be presented when they enter Macau. So it's an inconvenience to these travelers. So in terms of broad recovery, we really need to look at all these travel policies, restrictions, when that's going to be eventually lifted. So I think that ties to overall the national policy and also the vaccination rates. But I'm pretty confident that 2022 will be a better year than 2021, driven again by mass, particularly at the high end of the mass. Question upon the last point is that you asked about the conversion between what's happened in the junket world. So by now, I think that all the junket operators in the traditional sense have basically ceased operation in Macau. So the players or the agents working for the previous junket operators are trying to find place to settle down. So it's still quite dynamic in the marketplace as far as the conversion of the former junket players to in-house players, and to some extent, to premium mass players as well. So what we are working on is, first of all, focusing on mass. I think that's where the future resides. And second, is to capture as much conversion from junket to in-house to mass as possible. And on that note, I think that we are also looking at reallocating the resources, particularly the table units to support the mass growth eventually. So we are going to reallocate more tables to -- from VIP to mass in the coming quarters. So Chad, does that answer your question?
Chad Beynon: Yes, Hubert. Really appreciate it.
Operator: And the next question will be from Dan Politzer with Wells Fargo.
Daniel Politzer: So I wanted to hit on the capital allocation share buyback. You guys have been pretty active there. I think buying back $700 million or so in the past couple of quarters and 370, I think you said for the first quarter. So I mean, is that -- is this kind of $700 million level a reasonable expectation to have on a go-forward basis given your -- I think you have maybe $900 million left? Or how should we think about this going forward as you look to return capital to shareholders?
Jonathan Halkyard: Well, we do like to be consistent. At the same time, we are able to take advantage of opportunities of softness in the shares. And that was one of the things we were able to do during the fourth quarter particularly in December. As I recall, we were able to be aggressive, and we thought that was the right thing to do given our view of the value of the company. So I would suggest that the fourth quarter was certainly, it was the highest quarter, I think we've had in several years, but it was merited by the value that was in the shares. And so going forward, we'll be programmatic about this, and we continue to think it's a good use of capital. I wouldn't commit though to any specific dollar amount simply because it is driven in part by the trading value of the stock.
Daniel Politzer: Got it. And then could you just remind us when you'll be a full cash taxpayer?
Jonathan Halkyard: We'll be a full cash taxpayer in 2025.
Operator: And the next question will be from Thomas Allen from Morgan Stanley.
Thomas Allen: So you guys have had success integrating M Life with BetMGM in the past. So can you just elaborate on the new BetMGM rewards program? What's changed there? And what do you see as a big opportunity?
Corey Sanders: Well, Thomas, thanks for the question. I think the key as it relates to BetMGM is just further integration. Frankly, it's a little clunky. It needs to be fully integrated, where it's a smooth transition and transaction for a customer to take gaming activity on BetMGM, get recognized, get rewarded and get onto their phone in some way, shape or form an opportunity to take advantage of something on a brick-and-mortar property. It's a transition. There's a 2-step process that we want to see go away. The more broad change though with MGM Rewards is recognizing retail spend and making it more robust, recognizing people for that. We do -- collectively as an industry and as a business, I think, particularly as a company, an amazing job individualized with personalized guest service, recognizing high end. We're trying to extend that down the tier, if you will, to the next big tranche of people in the millions at this point. So I think once properly recognized and understood the value of all of the things we have to offer, whether it's Las Vegas or some of our regional destinations, we're going to be -- I think we're going to be highly rewarded for it. But it's the reformat of MGM Rewards in terms of BetMGM is really more about the technology platform and getting the linkage pure and simple. The rewards program itself is about driving nonretail play at our expense.
Thomas Allen: Very clear. And then just following up on an earlier question about mix. I remember in 2019, you were at about 21% group mix. Can you guys talk about the split between FIT casino and group today? And like what do you think kind of the long term will look like?
William Hornbuckle: Corey?
Corey Sanders: Sure. Thomas, thanks. Yes, the group mix, we've never given it. On the convention side, we're about 13% in the fourth quarter. And that's not bad considering everything. Look, in general, I think we'd like our convention mix back to where it was in '19/'20 with -- to see our casino increase, and we're seeing some pretty good percentage increases by about 9% to 10%, that would be great. We'd also like to see some shift in transient, which we've been able to see during this period. and probably taking away a little bit from the leisure package. That would be our end goal.
Operator: Next question is from John DeCree with CBRE.
Unidentified Analyst: Bill, a follow-up to Thomas' question on BetMGM and the rewards program. Obviously, a significant number of rewards customers acquired through BetMGM this year. I'm curious if you're seeing any meaningful cross-sell to your bricks-and-mortar operation yet? Or it sounded like maybe with the rewards program revamp, that might be more on the comp. But just curious if you've have any anecdotes or data that you could share with us so far.
William Hornbuckle: Yes. Look, a little bit more on the comp, particularly here in Las Vegas because of the distance and the destination. Having said that, remember, the best omnichannel example we have is Michigan. And we have seen a lot of cross play. And what has been proven -- and this shouldn't be a surprise, but it's proven out to be the case is an omnichannel customer literally is worth 2x, 2.5x a regular customer. So they do take advantage of online brick-and-mortar and some of the opportunities that it presents back and forth. We've obviously have database shares. We go after customers. It's not a pure link with BetMGM and what was Life, where -- and so some of this is just direct mail motivated on that database. Over time, that's exactly where we'll get to. And so I think you'll see a whole -- the essence of it is we're just getting going, and I think there's real opportunities in Europe here of note.
Unidentified Analyst: That's good clarity. And if I could ask one more on the promotional and marketing environment. There's obviously a lot of spend going on as it relates to sports betting and digital gaming. But curious if that had any impact on the marketing environment or promotional environment at your regional or Las Vegas operations, there was a little bit of a demand dip because of Omicron. Curious if you've seen any changes in behavior? Is it really a...
William Hornbuckle: Look, Corey can answer this, but I'll tell you in the BetMGM side, God, I hope it doesn't transition over. It's an openly aggressive market. We all know it. I think we've been one of the more disciplined. I mean, you heard the number we lost about $52 million or $4 million in cash in the fourth quarter in BetMGM. I know what we spend versus the competitive set. It's about -- the spend is about 2:1, yet we maintain the market share that we have. So I think it's compelling. So the team does a really good job with that, but it has not nor will it impact its way into regionals. Go ahead, Corey.
Corey Sanders: Yes. And with regards to the properties, especially in the regionals, when we shut down, that was one of our saving opportunities was to readjust that investment into those customers, and we've been able to maintain that. The slowdown you may have seen in some of the markets in January, especially on the East Coast, would have been related to Omicron and the weather.
Operator: And our last question for today will come from Stephen Grambling with Goldman Sachs.
Stephen Grambling: Two follow-up questions actually. First, on BetMGM, could you just maybe disclose how many monthly active users are on the app to end the year?
William Hornbuckle: No. That's well over $1 million in the database at this point. I'd rather keep that close for now.
Jonathan Halkyard: I think there -- as you probably know, they're having an Investor Day in May. And I think at that time, the team will be sharing more detail
Stephen Grambling: Awesome. I had to sneak it in. And then the second one is another modeling follow-up. Any way you can share what your same property margins were in Vegas and in the regions in 2019, so we can kind of compare and contrast on an apples-to-apples basis?
Jonathan Halkyard: Yes, those margins were in the kind of high 20s, around 28 or so on a kind of a like-for-like basis in 2019.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Bill Hornbuckle for any closing remarks.
William Hornbuckle: Thank you, Chad. Again, I'll be quick. I know it's late back us particularly, look, obviously, for us, it's been a tremendous year. We couldn't be more excited. I can't again thank our team enough. I think we've done a very good job by shareholders. We've returned a substantive amount of the company, over 10% back to them. We've got an amazing fortress balance sheet that presents all kinds of opportunities for diversification whether it's Japan, New York or ultimately into digital, both domestically and beyond. You probably know we're stretching BetMGM into Canada in April. And so we're excited by its growth and other possibilities that may present themselves. And so we're excited to get refocused now on returning some of our properties in some of our growth programs and our remodel programs back to where we'd like them to be and beyond. And again, we're just getting rolling -- because if you think about 2020 with sports, obviously, we had COVID, we're just getting rolling with that activity case at full steam. And so I'm excited by the balance of this year there. again, because of COVID, the entertainment programming will be robust here. Many tours did not go out and they decided to stay in Las Vegas and do residencies, and it will be accretive to us throughout the course of this year. So again, appreciate your involvement. Appreciate your time and your rest in the company. So thank you all.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.
William Hornbuckle: Cheers.